Operator: Good morning, and welcome to Universal Technical Institute's Third Quarter 2013 Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. A replay of the call will be available for 60 days at www.uti.edu or through August 5, 2013, by dialing (877) 344-7529 or (412) 317-0088 and entering code 10031199. At this time, I'd like to turn the conference over to Mr. John Jenson, Vice President and Corporate Controller of Universal Technical Institute. Please go ahead.
John Jenson: Good morning, and thanks for joining us. During today's call, we'll review the results of our third quarter, discuss our strategic direction and outlook for the fourth quarter and take your questions. Before we begin, we must remind everyone that except for historical information, today's call may contain forward-looking statements as defined by Section 21E of the Securities Exchange Act of 1934 and Section 27A of the amended Securities Act of 1933. I'll refer you to today's news release for UTI's comments on that topic. The Safe Harbor statement in the release also applies to everything discussed during this conference call, including initial comments by management as well as answers to questions. During today's call, we'll make reference to EBITDA, which is a non-GAAP measure representing net income exclusive of interest, income taxes, depreciation and amortization. The schedule provided in the earnings release reconciles EBITDA to the nearest corresponding GAAP measure, net income. Now I'd like to turn the call over to Kim McWaters, our Chief Executive Officer. Kim?
Kimberly J. McWaters: Thank you, John. Good morning, everyone, and thank you for joining us. As customary on our earnings call, we're going to cover our operating and financial results in detail. In addition, we will discuss our business strategy, progress on key initiatives and our outlook for the remainder of the year. As expected, our third quarter financial results continued to reflect the effects of prior quarters' challenges, which have led to a lower-than-optimal average student population. However, for the first time in a long time, we're seeing some positive trends. In this call, we will discuss what they are and what they mean for our business. Let's start with the big picture for a moment. The recovery of the transportation industry continues to move full speed ahead. With the growing number of cars and trucks on the road, impending retirement for an aging workforce and continued advancements in the technology that keeps America moving, the demand for skilled technicians is growing. And that is good news for UTI and our graduates. The basic fundamental fact that employers need skilled technicians with formal training and people need jobs with good pay and security is more relevant and true today than ever before. Transportation is essential to a growing economy. Consumers need safe vehicles. Industry needs diesel transportation and power generation. Employers need technicians. Students need jobs. We make it happen for both. It sounds simple. However, that has been easier said than done in recent years with the compounded effects of the great recession in a changing regulatory environment. Price sensitivity and real affordability concerns have weighed heavily on students. Recent regulations have driven operating changes that have increased competition and made marketing and admissions less efficient. These things and more have impacted our business, but we have been working diligently to overcome these obstacles, so that we can do what we do best, provide training for those students who aspire to be technicians for the transportation and motorsports industry and provide skilled professional technicians to employers across the country. This quarter reflects the balancing of our cost structure with a less-than-optimal average student population, while ensuring that we do not compromise the quality of our students' education, that we continue to drive innovation for more efficient growth, and we invest in our future for the good of all of our constituents. Although we're still dealing with some short-term operating and financial pressures, I'm pleased to say that we're beginning to see some positive traction with our initiatives. First, Eugene is going to review the quarter, and then we will discuss the progress we're making on those initiatives. Eugene?
Eugene S. Putnam: Thanks, Kim. Good morning, everyone. In round numbers, we began the quarter with 1,900 fewer students than we had at this time in 2012. Overall, our student starts in the quarter were down 7.4% as a result of fewer students scheduled to start and the exclusion of ATB students. Starts were actually up 2% quarter-over-quarter, if you exclude the 245 students that started last year that were ATB students. The result was an 8.7% decrease of revenues, which came in at $91 million. Average revenue per student was up slightly from $6,500 to $6,600. Tuition, excluded, $4.4 million related to our loan program compared to $3.8 million in the third quarter of last year. The increase reflects our efforts to ensure this program is accessible to students. And as a reminder, we recognize revenue from tuition loans when we receive payments. Also, I should note that we were successful in replacing the originated bank on this program during the quarter with no interruption to processing and packaging of new students, and we did it essentially on the same financial terms as with our previous provider. Year-to-date, revenues were approximately $284.5 million, which is down about 9% compared to last year. In the face of these revenue declines, we continued demands or variable cost to align with the number of students we have in school. The third quarter is traditionally our lowest quarter of student population in revenue. While our financial results clearly aren't where we would like them to be, I'm very encouraged that we were able to achieve better-than-anticipated student starts and improved efficiencies enough to turn second quarter's loss into a small gain while surpassing our internal projections. We recognized operating income of $0.5 million for the quarter compared to $1.5 million in the same period last year. Our work to reduce and better target our marketing investments delivered a $1 million decrease in advertising expense, which came in at $9.1 million for the quarter. And as a percentage of revenue, advertising expense was 10%, which is relatively consistent with the same quarter last year. Driven by the reduction in our workforce last September, as well as lower bonus plan payouts, compensation-related expense was down $4 million in the quarter. Given our focus on expense control, I would continue to expect 2013 expenses to be down significantly compared to the prior year. Bad debt expense as a percentage of revenue was 1.2% in the quarter and is 1.3% year-to-date. We generated $6.4 million in the third quarter of EBITDA compared to $7.6 million last year. And EBITDA for the year is $22.7 million versus $31 million last year. In all, we recorded a third quarter net income of $300,000 or $0.01 per share, compared to $1 million or $0.04 per share last year. Year-to-date, net income is $2.9 million or $0.12 per share compared to $7.4 million and $0.30 per share through 3 quarters last year. Looking at our balance sheet. We had cash, cash equivalents and investments of roughly $87 million at the end of the third quarter as compared to $101 million at the beginning of the fiscal year. In the 3 quarters of 2013, we generated cash from operations of $5.4 million, compared to $9.2 million last year. And we continue to have no debt on our balance sheet. During the quarter, we invested $2.5 million in fixed assets, which was down slightly from $3.4 million last year. And finally, we returned about $2.4 million of dividend payments to shareholders in the third quarter, and we purchased an immaterial number of shares under our repurchase authorization. With that, I'll turn it over to Kim for some details on our strategic initiatives and the progress that we're making on them.
Kimberly J. McWaters: Thanks, Eugene. As I mentioned at the beginning of the call, we believe we're beginning to see our strategy produce some early results. The strategy focuses UTI's 2,100 employees on delivering 5 imperatives: Efficiency and cost control, growing our student population and market share, improving student value and affordability, strengthening our industry relationships and developing our people. First, we continue to align our cost structure with our current student population. That means keeping a close eye on expenses, cutting out waste and designing more streamlined efficient business processes. This work not only makes us more effective, it gives us additional flexibility to improve value and affordability for our students. It will also enhance our bottom line when we're, again, operating on all 8 cylinders. As Eugene mentioned, we've seen good year-over-year progress in driving down variable cost across the board. Our work to grow our student population is focused on building awareness of UTI, MMI and NASCAR Tech, helping potential students understand the value of the unique training we provide and effectively engaging with students from their first inquiry to their first job and beyond. And in the third quarter, we saw that work begin to pay off. Total new student applications were up roughly 20% year-over-year, and we saw meaningful growth across all of our admissions channels: High school, military and adult. New applications from high school students were up 18% from the third quarter of last year. Our military channel was up nearly 13%, and new applications from adult career changers grew 22%. At a high level, we attribute the improvement in new student applications to a number of changes. Improved inquiry quality and growth, easier inquiry and application processes, inquiry distribution and referral policy changes, focused admissions expertise on specific student segments and the near lapse of the elimination of the ATB enrolling population. We're particularly pleased with the growth in the adult segment as this has been our biggest challenge during the last several quarters. As this segment is largely driven by media-generated inquiries, we've worked hard to make our marketing more efficient and more targeted toward potential students most likely to start to school. We believe our new media mix model, which has now been in place for 2 full quarters, is delivering more higher propensity to start inquiries through our website, and we're seeing a correlating decline in the cost of inquiries gathered through paid search. In addition, prospective students seemed to be responding to our new creative approach to television and display ads, and we've ramped up our presence on social media and at events where our enthusiasts gather. These changes are producing results. In the third quarter, inquiry generation was up 8%, while advertising expense was down 10%. And the quality of inquiries and conversion rates improved year-over-year. Toward the middle of the fourth quarter, we'll build on these successes, with the next generation of our media mix model that allows us to optimize our media buying to predict the new student starts. In addition, we'll use the model more appropriately to direct inquiries to either a nurturing channel or admissions representatives based on the students' propensity to attend school. We also continued to see growth in our strong high school and military segments, which account for nearly half of our new student applications in the quarter. Our military team has delivered 22 consecutive quarters of year-on-year new student application growth, and during the quarter, new military student starts grew 22.4%. Our high school admissions teams delivered an 8% increase in new student applications during the third quarter. And their new student starts were up slightly year-over-year as well. In summary, we saw 2 out of 3 admissions channel deliver new student start growth. If we carve out the ATB population from the prior year quarter, which was roughly 9% of total new student starts and just compare it apples to apples, we grew the non-ATB new student start population by 2%, as Eugene mentioned earlier. As encouraged as we are by the increase in applications, the fourth quarter traditionally has been challenging when it comes to show rates as it's heavily loaded with the new students from high school who tend to show to school at lower rates in the fourth quarter than in other segments. So we may see some pressure on our show rates, but we still anticipate new student growth in the fourth quarter. It's important to remember that we fundamentally changed the front end of our business. With advertising, on the other hand, we focused generating on higher-quality inquiries using a very different media optimization model. In some ways, we're casting a wider net. And total inquiries and applications are increasing as we become more user-friendly on the web. And, we're working on downstream quality, using predictive modeling to ensure we properly allocate our resources according to student need, measuring both their willingness and ability to come to school. How all this change will ultimately impact show rates and other conversion metrics over time is unclear. What is clear is that these measures may not be as comparable from one period to another as we test and refine our strategies, so they aren't as useful as the guide to future business. What really matters to the business are new student starts and our efficiency in identifying, nurturing, graduating and placing quality prospects. These are the metrics that we'll primarily focus upon going forward. In the meantime, we expect our effectiveness and efficiency to improve, and we're focusing our teams on delivering new student starts. For the past several quarters, our admissions teams have been working with new tools and processes to engage students, from the first inquiry to the first day of class. We've improved collaboration among marketing, admissions and financial aid, which is not only driving efficiency, but also giving students better information and a higher level of customer service. As Eugene will discuss, we've introduced new tools to make the admissions and financial aid process easier to navigate and to help students understand the return on their investment in the UTI education. And we've addressed affordability issues with increased scholarships and change to fees. As these new processes and tools take hold, we hope to continue to see a positive impact on starts. We're proud of the progress we've made, and we're encouraged by the trends we're seeing in the business. As encouraged as we are, we're also clear about the uncertainty of the environment and the challenge we face in the amount of work we must do to see the business through these times. We know we must continue to work hard and stay focused on the things that set us apart and make us successful, with an unshakable commitment to our students and the industry customers we serve. If we do those things, I'm confident our thoughtful investments will continue to produce positive results, that we will emerge from this period stronger than before, and that we will build a company capable of creating meaningful, long-term value for our shareholders. And with that, I'd like to turn it back to Eugene to discuss our work to deliver student value and affordability and to further strengthen our industry relationship.
Eugene S. Putnam: Thank you, Kim. In an industry that's increasingly commoditized, we need to deliver a value proposition that competition can't match and that gives students reasons beyond price and convenience to choose UTI. Our industry relationships are at the heart of our ability to deliver value. UTI is unique because of our extensive relationships with the industry. With the renewed health of the automotive and diesel industry, our manufactured partners and our dealers are helping lead the change of job creation. They want high-quality, brand-specific trained technicians to service their expanding fleet of vehicles on the road and are looking to UTI more than ever to help. I'm very pleased to announce that we entered into an agreement with General Motors that will allow us to offer an elective program starting in our Avondale campus, which will launch early next year. This is an exciting addition to our many industry relationships, which continue to provide a key differentiator for us in the marketplace and for our students as they seek careers in the industry. This new relationship, along with the expansion of other relationships during the quarter, is indicative of the industry demand picking up and, is in part, is what is causing students applications to be up over 20% in the quarter. We continue to make progress on the second piece of our value equation, which is making UTI education more affordable and accessible. We offer proprietary loans for students who are well qualified to attend UTI, but have a gap in their financing packets after completing the traditional packaging process. Through the third quarter of 2013, we extended approximately $16 million in loans under the program, which is up from $14.5 million in the same period last year. Currently, the average individual loan amount under this program is about $4,900. Our cash collections from the program continued to improve. During the quarter, we recorded a little over $600,000 in revenue and interest from cash payments received from loans in our program, which was up from $409,000 last year. Year-to-date, we recorded $1.6 million compared to $1.1 million last year. As I mentioned earlier, during the quarter, we entered into an agreement with a new bank that began accepting student loan applications through this lender in late June, with no interruption to the packaging process for the students. And as I said, additionally, the terms under this agreement are substantially the same as the agreement we had with our previous lender. During the quarter, we completed the rollout of our new state of the industry curriculum at our Avondale campus. As we evaluate the learnings of potential efficiencies in this curriculum, we'll continue to roll it out to our other campuses starting early next year. We believe our consistently solid outcomes for our students reflect the strength of UTI's value proposition. In all about 2,100 students graduated last -- during the third quarter, and this reflects a 10.5% decrease from last year, which is consistent with the decline in our student population. During the past 12 months, over 10,200 students have graduated from UTI with either degrees or certificates, and our overall consolidated graduate employment rate in the third quarter was more than 250 basis points better than at this time last year and it was already strong last year. Let me take a minute now to talk about the fourth quarter and early guidance for next year. While we expect new student starts to be up in the fourth quarter, we anticipate full year new student starts for 2013 still to be down by mid-single digits, resulting in a lower average student population for the year. These lower levels of enrollment will most likely result in high, single-digit decline in revenue. And while we expect significantly lower expenses in 2013, we still believe that we'll record an overall decline in operating margin and net income compared to 2012. Due to the timing and the number of student starts in each of the next 2 quarters, we do expect meaningfully new student start growth during the fourth quarter and relatively flat year-over-year start growth in the first quarter of fiscal 2014, overall leading to positive start growth over the next 6 months. And while our guidance remains relatively unchanged, inquiries and applications in the third quarter increased significantly from the prior comparable period. Although it can take several months for increases in inquiries and applications to impact revenue, I'm encouraged by this increase in potential student interest, the improved demand for our graduates in the marketplace as evidenced by overall higher starting wages and by our industry partners expanding their training demands. We believe our strategy will appropriately position our company to deal with these challenges and return to sustainable profitable growth. Our employees remain focused on their core mission, changing our students' lives for the better by providing a quality education. And this focus can and should strengthen our competitive advantage as it has during the quarter, lead to increased market share growth and generating longer-term shareholder value. Chad, I think, now we're ready to open the lines to questions.
Operator: [Operator Instructions] Our first question comes today from Trace Urdan with Wells Fargo.
Trace A. Urdan - Wells Fargo Securities, LLC, Research Division: First question is just a fundamental one. You're expressing a tremendous amount of confidence in the trends that you're seeing today in the business, and yet, the first quarter guidance doesn't seem to reflect that at all. And I'm wondering, what -- why that is the case?
Eugene S. Putnam: Well, I actually -- I think it does. I think for the first time we're looking out 6 months, and I'm suggesting that we expect at this point in time to see start growth over those 6 months. The difference and why I said flat year-over-year in the first quarter, and I apologize for getting a little technical, but we actually have 5 start dates in the fourth quarter this year compared to 4 last year. In the first quarter of this coming year, that will reverse. We'll actually have one fewer start in 2014 than we did in 2013. So that's what's causing it to be flat year-over-year. And that's why I'm combining and looking at 6 months, so that we, in essence, see same-store sales on the same number of starts, in which we're reflecting some optimism that we'll see year-over-year start growth for that combined 6-month period.
Trace A. Urdan - Wells Fargo Securities, LLC, Research Division: Okay. And then I wonder if you could maybe help us understand a little bit about what you're seeing in terms of lead flow conversions and show rates? I understand the applications are up overall, but I wonder if we could get another level down in terms of the trends that you're seeing now?
Kimberly J. McWaters: So we -- as we mentioned, we saw a little pressure on our show rates and we attribute that largely to the students who have to relocate to school. So again, strong demand in inquiries, strong demand in conversion to application. And then for the population that has to physically relocate, we saw a drag on our show rates in this quarter. So again, the cost of education and relocation barriers continue to weigh on our population that have to relocate to one of our campuses.
Eugene S. Putnam: If I could just add to that. I think what you're going to see over the coming 6 months or so is higher applications, pressure on show rates, but the net effect of that still leading to start growth. And as we become more sophisticated, as Kim was talking about in some of our marketing, that's really the opportunity for efficiencies. The demand is there. And how do we most efficiently help our students through affordability, improve the show rates, and at the same time, not expend as much money on those that are going to fall out earlier in the process. So that's where the upside opportunity is from an efficiency standpoint.
Trace A. Urdan - Wells Fargo Securities, LLC, Research Division: I know in the past when the market -- when the labor market has been much hotter than it is right now, you've seen inducements from employers to some of your graduates. Can you give us a sense of sort of where we are on the continuum of improving employer demand? Are we getting to a point where we might see employers' needs begin to try to pull students through this system at all?
Eugene S. Putnam: Well, employer demand is clearly up. And it's up both in terms of -- from our standpoint -- from our placement standpoint, in terms of the number of openings and the wage rates that are being offered. It's also up, indicative of the new relationships you saw this quarter, not only with GM partnering with us for the first time, but expanded relationships from some of our other partners, including Mercedes and Porsche and some others. So that is indicative. And I think we continue to work with them overall, talking about the need for technical training. They are clearly seeing it, and they are all taking steps, albeit different steps, to help solve some of that demand. Some of them are stepping up with scholarships. Some of them are stepping up with increased commitments to help attract, and we're continuing to work with all of them to continue that push as they're beginning to see stress on their workload for technicians.
Operator: Our next question comes from Corey Greendale with First Analysis.
Corey Greendale - First Analysis Securities Corporation, Research Division: So first question, I was hoping you might be willing to define the word "meaningfully" a little more specifically, when you talk about starts being up meaningfully in Q4?
Eugene S. Putnam: Well -- let me put it this way. We're about 10% ahead in terms of students scheduled to start in the fourth quarter than where we were this year. So I'm talking something in the mid- to upper single digits.
Corey Greendale - First Analysis Securities Corporation, Research Division: So normalizing between Q4 and Q1, the underlying growth rate you're expecting is kind of in the -- sounds like just 4% or 5% range?
Eugene S. Putnam: Over 6 months, I would say kind of mid-single digits, yes.
Corey Greendale - First Analysis Securities Corporation, Research Division: Okay. And talking about the show rates, did you provide what the change in the show rates was in Q3?
Eugene S. Putnam: I don't know if we did. I -- but it was down about 2.5 percentage points.
Corey Greendale - First Analysis Securities Corporation, Research Division: 2.5 percentage points, okay. And the next question is, I would say that's a positive from the employment market in more demand for your graduates. Historically, when construction starts to be strong, that's kind of when the counter-cyclical side of your business kicks in, and that tends to attract students away from going to school. Just what are you seeing on that front?
Eugene S. Putnam: Well, I point the 20% increase in applications as not really seeing any pressure from construction markets or any industry similar to that. We're seeing, as I said, increased job opportunities, increased wages, increased kind of positive vibes about technical training in the automotive and diesel fields. And that as well as some of the efficiencies that we've done from a marketing and internal standpoint is to me what's leading to 20% application growth.
Kimberly J. McWaters: If I could jump in there, just from a macro standpoint, if you look at unemployment rate for men, 20 to 24, in June, it was roughly 15.7%, which was the same as it was a year ago, June, and coincidently, June in the prior year. So for a couple of years in a row, we've seen the unemployment rate for our key segments stay relatively the same.
Corey Greendale - First Analysis Securities Corporation, Research Division: And Kim, in your commentary about some of the factors driving the improvement in applications. I think I heard you say, one of the items was a change in your referral policy, can you just -- what did you change? And about what percent of your applications come from referral?
Kimberly J. McWaters: Yes, the main change was allowing our representative to build on a referral base and regardless of their age. And so, the biggest change would be if a student coming from the high school age had a older cousin who would typically be worked by our adult team, we would allow the high school representative to further develop and nurture those relationships and working any referrals from their base of business. And that has been a change to the past, because, typically, we have focused student segments to the appropriate admissions channel. So we've seen an improvement there. And I would say that our referral base is -- it's probably 25% to 30% of our applications, if not more. It's hard to track that specifically, but we believe it provides a significant base for our business.
Corey Greendale - First Analysis Securities Corporation, Research Division: That's actually a great number. On the advertising side, so it sounds like there's some kind of structural things you've changed in your advertising expense. So in the short term, what's your expectation on ad expense for Q4? And in longer term, given the structural change, do you think you can get leverage from your advertising expense as enrollment turns and revenue ramps back up? Or do you expect advertising kind of ramps back up as enrollment ramps up?
Kimberly J. McWaters: Yes. In the next quarter, I would expect it to be relatively flat to our current quarter. Perhaps, yes, I guess, relatively flat to this prior quarter and prior year. So somewhere in the 10% to 11% of revenue range. My hesitation is that while we're seeing efficiencies, it's also working. So I'd like to continue to invest in it and continue to build that student population. With that said, I do believe that we have seen some real improvement from the structural changes that we made. And my hope is as we continue to learn more from our media mix model and our student start propensity model that we gain leverage there on a go-forward basis over the longer term.
Operator: Our next question comes from David Chu with Merrill Lynch.
David Chu - BofA Merrill Lynch, Research Division: I'm sorry if you mentioned this. But how are application rates trending for high school at this point as we head into the September quarter?
Kimberly J. McWaters: High school rates are up. Our contracts, as we mentioned, I think Eugene just mentioned in the Q&A that, overall, our contracts going into Q4, we're pacing ahead about 10%. And our high school applications throughout the year have been -- they've been strong and continuing to grow. In fact, in this quarter, they're up better than 15%. So it's -- I think they look good. They look really good going into fourth quarter from the high school channel.
David Chu - BofA Merrill Lynch, Research Division: Okay, that's great. So are you guys doing anything to try to improve show rates heading into the quarter?
Kimberly J. McWaters: Yes, we are working very hard to improve show rates in terms of process improvement. Some of the things we talked about on previous quarters with our Net Price Calculator significantly increased scholarship amounts and the types of scholarships awarded to help students who need them. And in addition, I think enhanced customer service, simplification of the process is also serving to help. With that said, the macro environment still creates barriers for certain student segments that we have a hard time solving, but we are working very hard, pushing all buttons and pulling all levers that we can to help these students get to school.
David Chu - BofA Merrill Lynch, Research Division: Okay. So when you talk about significant increase in scholarships, about, like, how much are we talking about here?
Kimberly J. McWaters: Inside of the last couple of quarters, we have increased, which we publicly announced the $1 million more on a base of roughly $12 million in scholarships and have increased that by another couple of million, as we head through the remainder of this calendar year.
David Chu - BofA Merrill Lynch, Research Division: Okay, that's helpful. And lastly, maybe this is a little bit early, but can we see cost down in, I guess, in fiscal '14 versus fiscal '13, just maybe some initial thoughts to that?
Eugene S. Putnam: Is the question overall cost for the full year?
David Chu - BofA Merrill Lynch, Research Division: Just cost on an absolute dollar basis overall.
Eugene S. Putnam: I think it's a little early to make that prediction. That's going -- you're fighting normal inflation, you're fighting increased costs from healthcare. That said, there are still efficiencies there, but those efficiencies will be driven, for the most part, by the leverage in the business. So I'm a little hesitant to give guidance on that right now. We'll give some of that next quarter.
Operator: Our next question is from Jason Anderson with Stifel.
Jason P. Anderson - Stifel, Nicolaus & Co., Inc., Research Division: Along the scholarship line, can you disclose the percentage of students you have on scholarship?
Kimberly J. McWaters: We probably can get that back to you. I can pull it up, but we'll have to get that back to you on that.
Eugene S. Putnam: We'll disclose it. We just don't know it off the top of our heads here.
Jason P. Anderson - Stifel, Nicolaus & Co., Inc., Research Division: That'll be great. Also, we talked about the start timing for 4Q and 1Q. Is there anything else in the rest of '14 that maybe we should be aware of? Any start shifts, number of starts, anyway?
Eugene S. Putnam: No, it's just -- we start every 3 weeks, and the calendar this year has a start on September 30. So the last day of the year, we're going to have a start. So that's why I felt it necessary to talk about the next 6 months rather than just the quarter. I don't want to leave anybody with the impression that the fourth quarter starts will extrapolate into first quarter, because of the apples and oranges in terms of numbers of starts.
Jason P. Anderson - Stifel, Nicolaus & Co., Inc., Research Division: And just the next one here about cash usage and maybe repo. You've had limited repo, share repo the couple of quarters. Is there anything limiting you from buying back shares, in the future here or in the near term?
Eugene S. Putnam: Well, one of the limiters is we don't trade a whole lot. And there are absent purchasing blocks which are doable. You're limited to a certain amount of volume under SEC rules. So that has in the past been a limiter to how aggressively we can go out there and purchase shares. But that's really the only "limiter" that we have.
Jason P. Anderson - Stifel, Nicolaus & Co., Inc., Research Division: Okay, great. And one last quick one. You mentioned last quarter, the STEM -- kind of your focus on STEM, the initiatives there and partnering with NASCAR. Could you maybe elaborate a little bit about that? Does that start, have you been doing anything active with that now? And does that involve any tapping into STEM funding from the government?
Kimberly J. McWaters: We are active in that the plan for next year to roll out to high schools has been developed and defined. And as we go into high schools this fall, we will roll that out. At this point, we are not using any government moneys from STEM. It is in partnership with just UTI and NASCAR. But as that grows in importance, we'll continue to look at those opportunities, and it's at the top of some of our key strategic initiatives.
Operator: Our next question is from Jeff Silber with BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets U.S.: In looking at your 3 different end markets, high school, adult and military. I know you had some good success, at least over the past quarter, increase in applications. But are there different messages in targeting those end markets? I'm just curious if one resonates over another.
Kimberly J. McWaters: Well, I'd say the overriding message is all about jobs. It doesn't matter if you're coming out of high school or transitioning out of the military or you're an adult career changer or searcher. People want an education that translates into jobs, and that is our key message with our relationships that we have with the industry and how that translates into a meaningful job after graduation. So the way in which we communicate is different for the end markets, but the messages resonate across all 3.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay. That makes a lot of sense. And just a couple of modeling questions for Eugene. Eugene, in just looking at the fourth quarter -- I think, it was Corey that asked the question about advertising, but in terms of the rest of SG&A, do we expect a sequential pickup in SG&A between the third quarter and fourth quarter excluding advertising?
Eugene S. Putnam: Very minor.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay, minor. And then how about the tax rate that we should be using for the fourth quarter? Maybe you can give us something for next year as well?
Eugene S. Putnam: I would use a rate around 40% for this full year and 2014.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay, great. And then how about capital spending for the rest of the year? And again any early indications for next year?
Eugene S. Putnam: Nothing big in Q4 of this year. It ought to run pretty consistent to this quarter, $2 million to $3 million. Next year will probably look very similar to this year with -- depending upon what we might do with some programs, a potential $1 million or $2 million larger. But I would expect this to be kind of approaching $20 million next year.
Operator: [Operator Instructions] Our next question comes from Paul Condra from BMO.
Paul Condra: But since I got you, I thought I'd ask about revenue per student. It was up nicely, and I'm guessing that's all tuition, but I wonder if there's any mix in programs at all? And then if you could talk about how scholarships might impact that?
Eugene S. Putnam: Well -- there's always some mix shift in there, but the vast majority of that pickup that we saw this quarter and have been seeing quite honestly, is the net effect of slightly higher tuition rates, slightly higher increases from payments from our loan program as more and more students have entered repayment, offset a little bit by scholarships and additional students taking out loans.
Paul Condra: Okay. So no big shifts in mix.
Eugene S. Putnam: No big shifts in program mixes.
Paul Condra: And then would you expect tuition increases to continue at the same pace, and can you remind us what that is?
Eugene S. Putnam: The pace is, depending upon program and part of the country, 2% to 3% annually, not necessarily across the board, but selectively.
Operator: There appears to be no further question at this time. So I'd like to turn the conference back to management for any closing remarks.
Kimberly J. McWaters: Thank you, Chad. And thank you, all, very much for your questions. We appreciate your time and interest in Universal Technical Institute. And we look forward to updating you on our next earnings call, which is scheduled for Tuesday, December 3. Have a great Friday.
Operator: Thank you. The conference has now concluded. Thank you for attending. You may now disconnect.